Operator: Hello, and welcome to WESCO'S 2024 First Quarter Earnings Call. [Operator Instructions] Please note, this event is being recorded. I'll now hand the call over to Scott Gaffner, SVP, Investor Relations, to begin. 
Scott Gaffner: Thank you, and good morning to everyone joining us today. Before we get started, I want to remind you that certain statements made on this call contain forward-looking information. Forward-looking statements are not guarantees of performance and, by their nature, are subject to uncertainties. Actual results may differ materially. Please see our webcast slides and the company's SEC filings for additional risk factors and disclosures. Any forward-looking information speaks only as of this date, and the company undertakes no obligation to update the information to reflect changed circumstances. 
 Additionally, today, we have -- we'll use certain non-GAAP financial measures. Required information on these measures is available on our webcast slides and in our press release, both of which are posted on our website at wesco.com. On this call this morning, we have John Engel, WESCO's Chairman, President and Chief Executive Officer; and Dave Schulz, Executive Vice President and Chief Financial Officer. 
 Now I'll turn the call over to John. 
John Engel: Thank you, Scott. Good morning, everyone, and thank you for joining our call today. Our first quarter sales met our expectations, and our overall performance, compared against a very strong first quarter a year ago, was in line with our typical seasonal pattern and our full year outlook. Quoting, bid activity levels and backlog all remain healthy and support our view for sequential growth as the year progresses. 
 Our free cash flow generation, and it's something we're acutely focused on, was a record $731 million in the first quarter. We utilized a portion of this free cash flow to repurchase $50 million worth of common stock in the first quarter, and we've reduced our net debt, bringing our financial leverage down by 0.2 of a turn. Our financial leverage now stands at 2.6x EBITDA, and that's getting very close to our recently reduced target range of 1.5 to 2.5x. 
 More importantly, and I want to highlight this, we generated more than $1.4 billion in free cash flow over the trailing 12-month period. Historically, WESCO's demonstrated the ability to consistently generate free cash flow of 100% of net income over time. With double-digit growth and significant supply chain disruption in 2021 and 2022 coming out of the COVID pandemic, we invested in net working capital, resulting in cash flow conversion that was well below our historical average. Our trailing 12-month cash generation results smooth out the inter-quarter effects that we experienced last year as supply chains normalized. 
 I want to highlight that all 3 components of working capital, that is, accounts receivable, inventory, and accounts payable, contributed to this record $1.4 billion of free cash flow generation over the last 4 quarters, clearly highlighting the power of our distribution business model. In addition, during the first quarter, we announced the divestiture of our Integrated Supply business, which closed on April 1. We expect to use all of the after-tax proceeds of approximately $300 million to repurchase common stock starting in the second quarter. 
 As Dave will discuss in more detail later in the call, we are reaffirming our previous full year outlook for organic sales growth, adjusted EBITDA margin and adjusted earnings per share. We completed $20 million of annualized structural cost reductions late in the first quarter, and I think, as you all know, this is in addition to the $45 million of cost reduction actions we took in 2023. Our outlook for the year has been updated to reflect the divestiture of our Integrated Supply business on April 1 and our expectation to fully deploy these proceeds to share repurchases. 
 Given the record free cash flow generation in the first quarter, we are also increasing our full year free cash flow outlook to $800 million to $1 billion or more than 100% of adjusted net income at the midpoint, which provides increased optionality for share repurchases, debt reduction and/or M&A in the second half. Finally, we expect to be within our target leverage range as the recently reduced target leverage range, that is, of 1.5 to 2.5x by year-end. 
 We are laser-focused on continual improvement and making the internal investments to improve our performance and our capabilities. The long-term secular growth trends remain intact, and there are opportunities that will sustain WESCO's long-term growth and allow us to increase our share because of our unique global capabilities, our broad portfolio and our scale. 
 I'll now hand it over to Dave to take you through our first quarter results in more detail as well as our outlook for the rest of the year. Dave? 
David Schulz: Thank you, John. Good morning, everyone. Turning to Page 4 of our deck, organic sales were down approximately 3% versus the prior year, reflecting about a 1% benefit from price, offset by lower volumes. Differences in foreign exchange rates were minor in the quarter, as shown by the other category on the sales walk. The volume decline was attributable to a very challenging comparison, sales up 12% in the prior year period and continued choppiness in certain end markets. 
 On the lower half of the page, you can see the adjusted EBITDA impacts of lower sales, gross margin headwinds and higher SG&A in the first quarter. Gross margin was down about 60 basis points, with approximately half of the decline and the impact of lower billing margin due to mix. We continue to see a higher proportion of direct ship sales, which has a lower gross margin than stock sales. Direct ship sales, however, have a much higher return on net assets as we recognize the sale and profit with the product never hitting our inventory. 
 The rest of the decline in gross margin was attributable to billing-to-gross margin adjustments, including a higher inventory adjustment versus the prior year. The year-over-year increase in SG&A was primarily due to higher salaries and higher costs to operate our facilities. These increases were partially offset by the cost reduction actions taken last year. In total, adjusted SG&A represented 15.1% of sales, up 60 basis points from the prior year, with about 0.5 basis point increase driven by the impact of lower sales. 
 Turning to Page 5. On a sequential basis, sales were also in line with expectations and were down 4% organically, primarily due to lower volumes. Differences in foreign exchange rates and the benefit of 1 extra work day contributed about 1.5 points to sales growth. Adjusted EBITDA was lower than the prior quarter, primarily due to lower sales. Billing margin was up sequentially, and gross margin was down 10 basis points due to billing-to-gross margin adjustments. Adjusted SG&A was up sequentially about 1%, reflecting the restoration of incentive compensation back to target. 
 Turning to Page 6. This slide shows how WESCO has outperformed both our supplier partners and our distributor peers. We believe this is a clear evidence of our share gains over the past few years. The chart on the left compares WESCO's 10-year organic growth to the average organic growth of our 10 largest publicly traded supplier partners weighted to the proportion of our purchases that they represent. You can see that WESCO has outperformed the supplier average since the middle of 2021. 
 The chart on the right compares WESCO's year-over-year organic growth to the electrical and data communications distributors in the Baird Distribution Survey, which is published quarterly. WESCO has outperformed its distribution peer in 9 of the 13 periods presented. We think these 2 data sets clearly demonstrate that our growth has exceeded our peers, indicating our market outperformance over the last 3 years. 
 Turning to Slide 7. First quarter organic sales in our EES business were down approximately 2% on both an organic and reported basis. Construction sales were flat, reflecting large project shipments and strength in Canada, offset by continued weakness in solar due to a challenging comparable in the prior year. 
 Industrial sales continued to be strong and were up low single digits over the prior year, driven by automation and a continued resurgence in oil and gas. OEM sales were down high single digits. Backlog was approximately flat on a sequential basis and down about 5% from the prior year, reflecting the continued reduction of supplier lead times. EES backlog remains at a historically high level. 
 Adjusted margin was down from the prior year, with EBITDA margin down 70 basis points. The decrease in EBITDA margin reflects gross margin headwinds primarily from lower supplier volume rebates. SG&A was down slightly versus the prior year from the benefit of cost actions taken in 2023. Importantly, adjusted EBITDA margin was flat on a sequential basis. 
 Turning to Slide 8. First quarter sales in our CSS business were down approximately 4% from the prior year on both an organic and reported basis. Enterprise network infrastructure, which comprises structured cabling, along with sales to Internet service providers, was down low single digits in the quarter. Sales to service providers in support of 5G, fiber and satellite connectivity projects were down double digits in the quarter. This was partially offset by growth in structured cabling sales versus the prior year. 
 Security sales were down high single digits. Recall that prior year quarter was up low teens. Q1 sales were negatively impacted by lower spending with small and midsized contractors. The security market has contracted over the past few quarters, but we expect it will grow in the second half of this year, with strong secular growth in the out years. 
 Data center sales were again primarily driven by growth with hyperscale customers and were up low single digits in the quarter. The growth opportunity of this business is exceptionally strong, given the step change in data center capacity needs, driven by artificial intelligence. 
 As we discussed last quarter, CSS backlog is back to normal levels and was down 20% versus the prior year and up 9% sequentially. Adjusted EBITDA margin for CSS was down 140 basis points. The primary driver of the decrease was gross margin, including the impact of an inventory adjustment. While SG&A was relatively flat with the prior year, the decline in sales also unfavorably impacted adjusted EBITDA margin. 
 Turning to Slide 9. UBS sales were down 5% in the quarter on an organic and reported basis. Sales in utility were down low single digits versus growth of more than 20% in the prior year. We continue to benefit from the secular trends of electrification, green energy and grid modernization. We saw a decline versus the prior year in our stock and flow sales with customers more tightly managing inventory. 
 Although we divested the Integrated Supply business on April 1, sales from the business are included in our first quarter results and were up low single digits versus the prior year, consistent with the strength we experienced with other industrial customers within our portfolio. Broadband sales were down over 20%, which reflected continued demand weakness as customers continue to work through inventory and delayed purchases until government funding is released. 
 Backlog was down 7% from the prior year and down 1% on a sequential basis. Backlog remains near historically high levels. Adjusted EBITDA was down approximately 60 basis points versus the prior year, driven by lower supplier volume rebates, a mix impact and slightly higher SG&A as a percentage of sales. 
 Turning to Page 10. On this slide, we have highlighted a recent win by each of our business units that, in aggregate, represent more than $200 million of future project sales. These wins are consistent with the trend of our bidding and winning increasingly large complex projects. Also worth noting are the end markets that these projects serve, a project that is expected to be the world's first zero-carbons emission ethylene cracker, enterprise data center project and a large renewable energy project. 
 Turning to Page 11. Historically strong free cash flow has been a hallmark of WESCO and our distribution model. We are pleased to see a return to strong free cash flow as most global supply chains have reached equilibrium over the past few quarters. Free cash flow in the quarter was $731 million, driven by working capital, which improved on a days basis, both sequentially and versus the prior year. 
 On a trailing 12-month basis, which this chart bridges to adjusted net income, free cash flow was more than $1.4 billion, with cash generation improvements in all 3 components of working capital. Note that free cash flow in the first quarter partially benefited from a temporary increase in accounts payable. We migrated a portion of our business to a new accounts payable system that resulted in delays in processing payments. This temporary benefit should reverse in the second quarter. 
 Additionally, we did not take early pay discounts at our historical rate, which also resulted in a higher accounts payable balance. Note that in the second, third and fourth quarters of last year, receivables and inventory were a combined source of approximately $340 million, partially offset by payables, which was a use of $233 million. It is important -- it is because of this significant increase to quarter-to-quarter variability that we believe free cash flow is best considered on a trailing 12-month basis. 
 We were pleased to see a return to cash flow generation beginning in the back half of 2023. With the significant sales growth we delivered in 2021 and 2022, we invested heavily in net working capital, and we're well below our normal free cash flow conversion expectation. With this first quarter result, we are increasing the midpoint of our free cash flow outlook for 2024 from $700 million to $900 million, which is more than 100% of our implied outlook for adjusted net income at the midpoint, to a range of $800 million to $1 billion. 
 Moving to Slide 12. On this slide, we have outlined our return of capital to shareholders over the past 3 years, along with our capital allocation priorities for 2024. You can see that we intend to fully utilize the net proceeds of the Integrated Supply divestiture for share repurchases in the second quarter. In addition, the significant increase in our 2024 free cash flow outlook to $900 million at the midpoint provides optionality for us to opportunistically repurchase additional share, further reduce debt and/or pursue M&A in the second half of the year. 
 Recall that we provided a long-term outlook for operating cash flow generation of $3.5 billion to $4.5 billion at our Investor Day in 2022. We remain on track to achieve this target and expect to return about 40% of our operating cash flow to shareholders through dividends, including our common dividend, which we increased 10% in 2024, and executing our $1 billion share repurchase authorization. The upside cash generation also allows us to continue to invest for organic growth and operational efficiency via our digital transformation. 
 Now moving to Page 13 for the key sales drivers of our strategic business units. We first provided this outlook by SBU last quarter with our initial 2024 outlook. Excluding the impact of the WIS divestiture, our outlook for sales at the SBU level is unchanged from our prior view. 
 Within EES, we faced headwinds in both construction and OEM in 2023 that more than offset significant growth in Industrial. In 2024, we expect EES reported sales growth to be flat to up low single digits as construction end markets remain pressured despite an increase in large project activity. The industrial business is expected to again benefit from continued growth from customers in many of the end market verticals we support. OEM is expected to be roughly flat. 
 Looking at our CSS segment, we generated strong double-digit growth in WESCO data center solutions last year and significant share gains in security that allowed us to outgrow the market. However, enterprise network infrastructure, which is focused on service providers and data communication applications, including structured cabling products, experienced softness due to the slowing of 5G build-outs in the nonresidential construction market, including renovations. 
 Enterprise network infrastructure is the largest business for CSS and makes up approximately 40% of segment revenues. For CSS in 2024, we again expect double-digit growth in data center and share gains in security, but some of the weakness that we saw in enterprise network infrastructure is expected to continue. That said, we expect volume growth driving CSS sales up low to mid-single digits. 
 Lastly, looking at UBS. In 2023, we generated double-digit growth in utility. This was partially offset by an approximately 20% decline in broadband due to customer destocking and delays of purchases until government dollars are released. In 2024, we expect growth in utility but at a more moderate pace as we lap strong comparisons, significant 2023 price increases and as utility customers more tightly manage inventory. 
 In addition, based on customer and supplier input, we don't expect to see a recovery in broadband until late 2024 before turning to growth in 2025. Despite these factors, we expect growth for UBS in 2024 with sales up mid-single digits. Please note these growth rates exclude the Integrated Supply business that we divested last month. 
 Moving to Slide 14 for our 2024 outlook. We are reaffirming our outlook for organic sales growth, adjusted EBITDA margin and adjusted EPS. The divestiture of our Integrated Supply business will represent a 3% headwind to sales, which reduces our reported sales outlook to a range of down 2% to up 1% or approximately $21.9 billion to $22.6 billion. 
 At the midpoint of the range, prices are expected to contribute about 1 point to the top line, with volumes relatively flat. From a quarterly sales perspective, we expect to see normal sequential patterns as we move throughout 2024. At the midpoint of our revenue outlook, reported sales would be roughly flat, including the Q2 through Q4 divestiture impact of approximately $700 million. 
 On adjusted EBITDA margin, while we do not provide an outlook for gross margin, we expect to see improvement in 2024. The Integrated Supply divestiture will be accretive to gross margin. Our billing margin was stable in 2023 and up slightly sequentially in the first quarter. We expect improved mix and flat supplier volume rebates as a percentage of sales, along with the benefit of our margin improvement program, to drive higher results in 2024. 
 On SG&A, there are headwinds related to our annual merit increase, along with a return to target payouts for incentive compensation. Combined, these items represent an approximately $100 million cost headwind in 2024 and are expected to be only partially offset by the cost actions we took in 2023 and $20 million of annualized cost actions we took at the end of the first quarter. 
 From a P&L perspective, we continue to expect adjusted EBITDA margin to be in the range of 7.5% to 7.9% or approximately $1.7 billion of EBITDA at the midpoint. The revision to adjusted EBITDA at the midpoint reflects the impact of the Integrated Supply divestiture of approximately $45 million relative to our initial outlook. 
 You can see that we are maintaining our outlook range for adjusted EPS of $13.75 to $15.75. The dilutive impact of the Integrated Supply divestiture will be partially offset by the $300 million of share repurchases we expect to initiate during the second quarter. 
 As I discussed a moment ago, we are increasing our outlook for free cash flow from a range of $600 million to $800 million to a range of $800 million to $1 billion. This free cash flow outlook represents the highest free cash flow in our history and more than 100% of adjusted net income. We have assumed in our free cash flow outlook that net working capital days improve, including a 3-day improvement to inventory days outstanding. 
 Before turning to Slide 15, I want to draw your attention to some updates we have made to our underlying assumptions for 2024. We have increased our outlook for other expense to the upper end of our range or approximately $25 million based on first quarter results. This expense is a combination of our pension costs and the impact of changes in foreign exchange rates on the balance sheet. 
 On shares, we reduced our expected average share count to 50.5 million shares based on the buyback activity of $50 million completed in the first quarter and our expectation to buy back $300 million of shares in the second quarter. And lastly, while we continue to expect an effective tax rate of approximately 27% for the remaining 3 quarters, the lower rate in Q1 reduces our outlook for the full year to approximately 26%. 
 Turning to Page 15. This slide shows the 2023 year-over-year monthly sales growth comparisons with monthly growth rate for the first quarter and our expectations for the second quarter. Like the rest of 2024, we expect to see normal seasonality in the second quarter, including a sequential increase in sales. 
 On a year-over-year basis, we expect organic sales to be flat to up low single digits and down low single digits on a reported basis. We expect our gross margin rate to improve sequentially, primarily reflecting the benefit from the Integrated Supply divestiture, and for SG&A to increase sequentially due to the annual merit increase. Preliminary April sales per work day were down 2%, in line with typical sequential patterns. 
 Now moving to Page 16. Our long-term secular trends are intact. This slide shows the uniquely strong position of our company to drive growth and profitability in the years ahead. The end-to-end solutions that we provide to our global customer base are directly aligned with the 6 secular growth trends shown on the left side of this page. 
 Our participation in these trends, coupled with increasing public sector investments in infrastructure, broadband and partnership with the private sector, position WESCO exceptionally well. Our long-term financial framework is for WESCO to grow 2% to 4% above the market due to the combined benefit of secular growth trends and increasing share. 
 Turning to Page 17. We've covered a lot of material this morning so let me briefly recap the key points before we open the call to your questions. Sales in the first quarter were in line with typical seasonality and our full year outlook. Backlog remains at very high levels in each of our business units. Free cash flow was more than $700 million in the quarter and more than $1.4 billion over the past 12 months, including an accounts payable balance that will normalize going forward. We utilized our cash flow to opportunistically repurchase $50 million of shares in the first quarter. 
 We are reaffirming our 2024 outlook for organic growth, adjusted EBITDA margin and adjusted EPS, and increasing the midpoint of our free cash flow outlook by $200 million. We intend to use the proceeds from the Integrated Supply divestiture to repurchase $300 million of our shares in addition to the $50 million bought back in the first quarter. With the remaining free cash flow generated this year, we will balance additional share repurchases with reducing leverage while continuing to pursue accretive M&A. 
 With that, operator, we can now open the call to your questions. 
Operator: [Operator Instructions] And our first question today comes from Nigel Coe with Wolfe Research. 
Nigel Coe: Appreciate all the details, especially Slide 6, which is, I think, quite [indiscernible], although you better be careful with those bad guys. The data there is pretty suspect. Just kidding. 
John Engel: I thought we might get a comment like that, Nigel. 
Nigel Coe: On the SG&A, you mentioned the pickup sequentially on comp. But are we still in the kind of the framework where SG&A growth for the full year will be sort of below revenue growth, we still get a little bit of SG&A productivity? And maybe just talk about some of the kind of measures to that inflation [indiscernible] 
David Schulz: Yes, Nigel, let me start with the expectations for our SG&A. As we mentioned, we do have a $100 million headwind related to not only the merit increase, which is effective in the second quarter, that will be a low single-digit increase to our people costs but we also do have the restoration of the incentive compensation. 
 And we called out that, combined, that's about a $100 million headwind. So when you think about how we're looking at the cost actions, we do have some carryover benefit of the cost actions that we had taken in 2023, we're doing -- we did $20 million of additional structural cost takeout as part of the first quarter actions. 
 So from our perspective, if you take a look at those bread crumbs, part of our issue that we have is, we mentioned with the Integrated Supply divestiture, we will see the gross margin benefit. There's not a lot of SG&A benefit with that business coming out. So from that perspective, we are expecting to have efficiency on SG&A. But given the sales growth, it will be more difficult. 
Nigel Coe: Okay. Okay, great. And then on the free cash flow, obviously, a strong performance on accounts payable. I'm assuming that's more of a timing issue, that you might have some headwinds from accounts payable over the remainder of the year. So we should think about offsets from accounts receivable and inventory to offset maybe some of that over the balance of the year. Any help there, David? 
 And then, obviously, the 5-year framework is putting to operating cash flow of $1 billion for the next -- or $1 billion-plus for the next couple of years, 2025, 2026. Just want to confirm that's the case. 
David Schulz: That is the case. So yes, just going back to the cash flow expectations for 2024, we did have that temporary benefit of accounts payable. That will normalize over the course of the next couple of quarters. While we do still expect that the accounts payable balance will be a source of cash for 2024, we are laser-focused also on reducing our inventory days. So again, we would expect our accounts receivable will grow sequentially with our sales, and then we will continue to stay focused on reducing our inventory levels. 
Operator: And the next question comes from Sam Darkatsh with Raymond James. 
Sam Darkatsh: So first, a couple of clarification and quick questions, and then most of my -- thrust of my questions have to do with your inventory management. So the $200 million bump in free cash flow guidance, Dave, is that entirely coming from payables? Since I think you originally were thinking about taking 3 days out of inventory and sales organically doesn't change much. Is that the way to read that? 
David Schulz: It is a combination of the net working capital. So it is benefits on inventory and the accounts payable source of cash, offset by the accounts receivable. 
Sam Darkatsh: Got you. And then can you remind us the seasonality of EBITDA for the second quarter as a percent of the year, and whether you expect to be in that general range? 
David Schulz: Yes. Generally, we see about a 45-55 split between our EBITDA based on the front half, back half of the year. We are still anticipating to see that level of seasonality in the business. So again, as we see sequential sales growth, we've got moderation to our SG&A based on the cost actions. So from that perspective, we do have a back half-loaded EBITDA plan, supported by the sequential sales growth. 
Sam Darkatsh: Got you. And then my real question, though, has to do with inventory management. Obviously, you've got really high carrying costs. Your cost of debt is similar to your EBITDA margin. I think, a couple of things. First off, I think you had some issues with branches needing better visibility into other branch inventory. What's the timing of when you might see improvements there and how much might that help? 
 And then secondly, with inventory tied up with projects, are you able to, like, de-kit? I don't know what the technical term is, but break apart kits and maybe bleed that into stock and flow? Or are you reticent to do that maybe because it risks future price cost? Just tactically, how do you handle the inventory as long as certain lead times remain extended? 
David Schulz: Certainly. Let me address the inventory management at the location level. We are still in the middle of our digital transformation, so we are operating a number of different platforms in which we manage our inventory. We have provided our team with some digital applications, which help them see the total level of inventory at the business unit level, at the location level. We also have a specific tool that helps us monitor the amount of inventory that is allocated to a project. So in that case, we win a big job. We negotiate back with the suppliers on what the cost of goods will be to support that project. We'll work the lead times. We'll bring that inventory into our location to service the job site or the project site. So we do have better visibility to that. 
 In the environment that we're operating in, there are some projects that are delayed. That means we're holding on to inventory longer than we had initially expected. We experienced that throughout the pandemic and the recovery coming out of the pandemic. But we do have the tools that our team has, that they can monitor that inventory per project. In some cases, we're able to de-allocate that inventory and move it to a different project, all depending on the lead times and when that project is expected to ship. 
 So we do have that visibility. It's something that we initiated in the latter part of 2023. We are beginning to see some benefit of that. So one of the early indicators of our inventory management is the amount of on-order that we are reducing. So go back 2 years when lead times were extended, we had to order material much earlier in order to ensure that we could deliver it to the customer. 
 As lead times have come down, we're better managing that allocated project inventory, and we're also providing better visibility to order timing so that we've reduced the on-order. We're seeing that primarily in our CSS business first, their supply chain yield first. They also have the majority of their projects on 1 platform. We're now starting to see the benefits of that in our other 2 strategic business units. We're confident we're going to be able to reduce the inventory days. 
Scott Gaffner: Sam, it's Scott. Just 1 clarifying point. You mentioned the DIO. We had not given a 3-day reduction in DIO on the fourth quarter earnings call, so that's a new item this quarter. 
Operator: And the next question comes from Deane Dray with RBC Capital. 
Deane Dray: Maybe we can start with some color, John, on the kind of tone of business. You mentioned bidding activity, but anything specifically around stock and flow, quote activity, any kind of context there for starters? 
John Engel: Yes. The overall bid activity levels, the quoting, the types of quotes we're getting, seeing, in many cases, either for larger, more complex solutions and sometimes megaprojects, it's very strong. So our backlogs are holding at historically high levels overall. And when you think about that and compare that against where supplier lead times are now versus 6 months ago, 12 months ago, 18 months ago, that shows even greater strength in the backlog because most of the SKUs across our supplier partner base were back to pre-pandemic levels in terms of lead times.
 Now we still have extended lead times on switchgear, transformers, some breakers, some older products, but they're starting -- there are some early indications that they're going to start to be brought in a bit. So I think there is some positive news on the horizon as we look out in terms of those lead times. So I think that's a way to think about our backlog in conjunction with the bid activity levels. I feel very good about that.
 We're getting -- we continue to drive the cross-sell. We're not reporting on that every quarter anymore because we -- that was such a key value creation lever of the combination, and we reported on that through the end of last year. And I think, as you know, we far exceeded our target. We've beaten and raised that numerous times. I will tell you that, that momentum around the cross-sell continues to build in our company, and it's reflected in RFPs we're getting but also our approach to the opportunities, Deane.
 So we are, as a matter of practice now, no matter what the bid is, we're trying to offer up additional portions of our portfolio and open the door to try to get the broader cross-sell, irrespective of what the RFP requires. So I would kind of cap it by saying that front end of the business, which is the leading indicator, very, very healthy, very strong, and it speaks to, I think, the future demand profile. 
Deane Dray: That's all very helpful. And the follow-up question is, if there's been any changes structurally within electrical distribution, and the term disintermediation comes up sometimes with questions. So 2 specifics. One, is there any kind of structural change with the role electrical distribution will play in these big megaprojects? There's been this question of whether, oh, the suppliers will be doing mostly direct. They won't use traditional distribution. So can you address that topic?
 And then related, and this came up on one of your big supplier's question about data centers, is it -- do they go direct? Do they use distribution? And the supplier said, some of the data centers want the direct and are less inclined to use distributors. So just those 2 topics, megaprojects and the data center. 
John Engel: So in terms of the macro question, is there any fundamental shift from distribution to direct? Overall, I'll say, and then with respect to megaprojects, we are not seeing that. And I would think, if you were to look at the other bigs that have capabilities, our core big competitors are not seeing that as well. So let me double-click on the data centers. I think it's really important to kind of talk about that value chain, how it's worked historically, how it's working now and where it goes in the future.
 First, I must say that AI and Gen AI is going to significantly increase power consumption on behalf of the new data centers that are getting built. So these projects are going to be much larger and more complex. When you think of a data center project, it requires 3 things: a power solution and then all the equipment that goes in the gray space, I'll call that kind of build-out of the structure. It's what's -- it's the infrastructure portion of that building and that what's required to run the data center. And then it requires what we call the white space solutions. So all new data centers require that.
 How does that match up with WESCO? Our UBS business, utility, power solutions, our EES business, gray space, our CSS business, white space. So we're working cross-sell with our customers. I'll come back on that in a minute. But the 1 key point I want to bring up, which gets to the heart of your question is, from a data center build schedule standpoint, the gray space, which, again, is the infrastructure portion of the project, it includes switchgear, that occurs well ahead of the white space in terms of the project schedule, the construction project schedule. 
 The white space is the air-conditioned "clean room space" of the data center. That houses the electronics and all the datacom solutions. So this is really important to understand. The larger, more complex the data center, the longer cycle time of that project. And what you'll see in the value chain is the orders and the sales for the gray space is well in advance of the white space. 
 Final point. I will tell you, in that market vertical, historically, switchgear and the gray space solutions went direct. If you actually look at our electrical sales and our major competitors, there's been, I would say, proportionately not a lot of "gear sales" for data centers in our sales. And that's how the electrical portion [indiscernible] work because, by the way, expect it runs differently, it's procured by different people than the white space.
 One of the strategic advantages of putting Anixter and WESCO together is we've got all 3 parts of the solution, not just for data center projects, but all projects, the power, the gray space, the white space. And we are working with our cross-sell to knit that together. 
 I will tell you, we have specific opportunities that we're having with the customers now, direct data center end user customers. And we have bid-specific opportunities in the last 6 to 12 months that provide a more complete solution, not only white space, but we're pulling some gray space in. And Rahi, in fact, had a few of those successes in their early days after we acquired them as part of the acquisition that we did a short while ago.
 So it's a great question, Deane. It's a really important question. And I know I probably went a little bit longer than some would like, but I thought it was really important to get that out there because we must understand how the data center kind of value chain worked historically, current construct and then what's going forward, where we're positioned. And it's the legacy Anixter portion of our business, direct end-user relationship with all the hyperscalers, as well as serving multi-tenant data centers and the colo data centers. 
 With a leading position globally, we are exceptionally well positioned to drive disproportionate sales growth with data centers. So I remain more bullish than ever, I'll put a fine point on it, on that market, after those set of market opportunities, mainly because of our CSS business as the tip of the spear. And all this AI, Gen AI-driven incremental demand, it's not just incremental, it's substantially higher demand that we'll drive in the future, which is a further accelerant to our future sales growth. 
Operator: And the next question comes from Tommy Moll with Stephens. 
Thomas Moll: I want to make sure I heard correctly on the sales trajectory and then unpack some of the assumptions there. But I think I heard you say, Dave, from a sequential standpoint, sales improved from 1Q to 4Q. So maybe you could just clarify if I heard that correctly. And if so, are you assuming the typical sequential improvements there just through the months? Or is there some haircut you're applying at some point along the way? 
David Schulz: Yes, Tommy. So we do have the expectation, more sequential increases in our sales. So when you take a look at the typical seasonality by quarter, on a sequential basis, we typically see our first quarter down that low to mid-single digits, which we just delivered. For the second quarter, we anticipate a mid-single-digit increase sequentially. That ties out with about the last 5 years of the history. 
 Q3, we see a low single-digit increase versus the second quarter. The fourth quarter is where it's generally flat to up low single digits versus the third quarter. One of the other things to keep in mind is we had 2 extra work days in the second half of 2024 versus the front half of 2024, so that will also provide a benefit on a reported sales basis. 
Thomas Moll: That's very clear and helpful, Dave. Associated with that revenue trajectory, it's clear that you should start to see some volume leverage on the OpEx line as the year progresses. And so if you look at what's implied by your guidance for the EBITDA margin, I think it's up a couple of hundred basis points second half versus first half. Is all of that substantially all of it volume? or are there other dynamics you would call out? 
David Schulz: There's a combination of things. First and foremost, it is volume, so we're getting the operating leverage in the back half of the year. The other thing to keep in mind is that we will be seeing a sequential benefit from Q1 to Q2 on the gross margin line relative to the Integrated Supply divestiture. 
 Now that doesn't have a huge impact on total SG&A dollars because of what was sold as part of that divestiture. But again, we do have the restoration of incentive compensation and a merit increase effective from Q2. And we are laser-focused on continuing to drive those cost reduction actions that we took in the first quarter. 
Operator: And the next question comes from Christopher Glynn with Oppenheimer. 
Christopher Glynn: Just picking up on Tommy's question. Within the second quarter, relative to the down 2% April versus flattish 2Q guide, what's the visibility confidence? Any particular nuances with May and June that we should be aware of? 
David Schulz: There's no particular nuances with May and June off of what we saw in the month of April. The 1 thing that I'll just remind you is that, that divestiture occurred on April 1, so you've got to pull out the $700 million of sales on a reported basis in Q2 through Q4. But we are essentially anticipating that the second quarter shapes up in line with typical seasonality versus Q1. In the months within the second quarter, we're expecting that typical seasonality as well.
 We typically see April down versus March. That is what we just delivered in line with typical seasonality with the decline in March. Then we see a rebound in May and June, particularly as you're tying that back to the outlook that we provided for each of our business units. We're still very busy with project activity. We do have some expectations for some of the end markets like broadband, which we'll see some recovery in the latter part of 2024. The comps get easier as well versus the prior year. 
Christopher Glynn: Right. And I'm curious about OEM down high single digit in the first quarter, flattish for the year. I understand that, that's probably significant destocking impact. Do you see that resolving in the near term and well within the first half? Or does that take kind of the full first half and second quarter to kind of get back to matching end demand and consumption? An EES-focused question, I guess. 
John Engel: Yes. So specifically on that EES OEM, it's stabilizing. That's a current-state comment. It's been stabilizing. We're seeing signs of that through the first quarter, continues in the second quarter. And I think we're positioned for some improvement as we get into the second half. So that remains to be seen, but we're well positioned for that, and that could be an upside driver. We'll see. 
Christopher Glynn: Okay. And the last one for me. The size of the inventory adjustment, maybe both absolute and the incremental or outsized portion? 
David Schulz: Yes. The inventory adjustment versus the prior year in the first quarter was 15 to 20 basis points. 
Operator: And the next question comes from David Manthey with Baird. 
David Manthey: First question is, could you just tell us what approximately the first quarter revenues were related to Bruckner, so we can conceptualize what normal pro forma sequentials might look like? 
David Schulz: There's approximately $200 million of revenue from the Integrated Supply business that we recorded in the first quarter. 
David Manthey: Got it. 
John Engel: Okay. And Dave, that had very nice growth, too. It's important to understand. Because if you take the $200 million-plus, what we've outlined as the bridge for the full year, the $700 million, we've been -- we had several quarters in a row of nice growth. And then that supported an operating plan that had meaningful growth in 2024. 
David Manthey: I see. Okay. Second, as we look ahead here on SG&A, there's a lot of moving parts, and I want to be sure I'm seeing them clearly. Could you tell us which factors were baked into the first quarter and which ones are incremental as we move from first to second? And the items I'm looking at are -- that I think are in the first quarter, reinstated incentive comp, annual merit increases, and carryover from the 2023 cost saving benefits.
 And then new in the second quarter that were not in the first quarter would include the $20 million annualized cost actions you took at the end of the quarter, variable expenses on whatever the quarter-to-quarter sales delta is, and then the Integrated Supply cost, which you said had a small SG&A impact. But can you -- any light you can shed on that for us, Dave, so we can make that bridge? 
David Schulz: Certainly. So the -- I'll start with the fourth quarter. So rough numbers, $800 million of adjusted SG&A. We just reported about $810 million. So that $10 million sequential increase versus the fourth quarter was essentially the restoration of incentive compensation. The bridge to go from Q1 to Q2, we will still have the restoration of incentive compensation in the balance of the year, but we also have the merit increase. So think about that in terms of a low single-digit increase to our people cost effective April 1.
 So that is the step up, which would be partially offset by the cost actions that were initiated with carryover in the prior year, but then also the benefit of the $20 million of cost reduction actions, which were primarily people reductions, that were effective just at the end of the first quarter. 
Operator: And the next question comes from Chris Dankert with Loop Capital. 
Christopher Dankert: Forgive me if I missed it, but just focusing on that down 2% in April. Are we already seeing a rebound in the CSS business, just kind of given what the outlook is for the year here? Or is it more of a back half kind of dynamic when we're thinking about the volume rebound in CSS, specifically? 
John Engel: So year-over-year, CSS and EES for April, these are preliminary sales results, are down low single digits. But UBS, which is now without WIS, so it's utility and broadband, was flattish. So compared to Q1, we're seeing UBS is kind of a little better year-over-year. 
Christopher Dankert: Understood. And then just when we're thinking about the technology spending and the digital transformation there, can you just maybe flag what some of the next modules are that go live in the near term or kind of key focuses on spending for that digital transformation into the back half here? 
David Schulz: Yes, certainly. So on digital transformation, I also want to clarify that we had expenses that were in our reported results in the prior year: mergers, integration, including the digital transformation. For 2024, we no longer had the pure integration costs, but we are continuing with our digital transformation. So we did record some expenses that were onetime in nature, but that we pulled out of our adjusted results. 
 So on a go-forward basis, we would continue to spend dollars as associated with that digital transformation. Keep in mind that this is things like the financial package that we had initiated back in 2022 and into 2023. There are some digital applications associated with our global business services, so think about accounts payable, accounts receivable. 
 We will be providing more details about that digital transformation when we do our Investor Day in the second half of the year. But these are consistent with the initiatives that we had outlined back in late 2022 that are part of that how do we continue to transform the company, how do we continue to get better use of our data and then also get much more efficient from an SG&A perspective going forward. 
Operator: And the next question comes from Ken Newman with KeyBanc Capital Markets. 
Kenneth Newman: So obviously, very nice to see the improvement in the free cash flow guide. So you obviously talked about being more active on the share repurchases this quarter. But I am curious if you could talk about how you look to prioritize capital allocation between debt paydown versus M&A in the near term. I think your preferred stock becomes callable in the middle of next year. And then wondering if you -- if we should think that you plan to make moves on the balance sheet ahead of that call date. 
John Engel: So let me make a few comments. Dave, you can add. As we said, we've been very clear, the pref, we're going to take out when that's available, and it's June of next year. That's very high priority for us. And we've said we wanted to be balanced with our cash flow, debt reduction, buyback. And then M&A is episodic, right? So we need to be positioned when the deals can be done and come to fruition.
 So we continue to work our M&A pipeline, right? And I would tell you, it's a very robust pipeline. And I think I did mention this in a previous call. We've got a new Senior VP of Corporate Business Development who's done an absolute phenomenal job since he joined our team in 2023. And so just we've got a tremendous pipeline of opportunities that we're sorting through. Our bar is high, so it takes a lot to get over our bar in terms of what meets our criteria.
 In terms of -- I want to make a specific comment with respect to using the full amount of the $300 million approximately after-tax proceeds from the WIS divestiture on a buyback. I mean, the way to think about that is, it's a combination of our confidence in our business plan, our execution of those business plans and our outlook, coupled with the fact that we believe, strongly believe, we're trading far below our intrinsic value. So we think taking the full $300 million and applying it to a buyback is the best return on investment, by far, given where we are trading. So with that, Dave, I think I hit most of his comments, but you may want to... 
David Schulz: Yes, certainly. So in terms of how we think about capital allocation between buying back shares, which John mentioned, is usually around intrinsic value versus continuing to delever, particularly given the interest rate environment, versus M&A. We have a very high bar on M&A. And if we believe that we can make the right deal, we want to stay very actively engaged in both the process, but then also being able to close out acquisitions that will allow us to continue to drive competitive advantage, provide more products and services to our customers.
 So it's really coming back down to the economics behind each of those choices. Clearly, we feel that the stock is undervalued, so we're going to take the proceeds from the Integrated Supply divestiture, apply that to buying back shares. That also helps us partially offset the dilution of the profit that's coming out from an EPS perspective. 
 Now we have been very active with our capital structure. So in the first quarter, we made some additional moves to basically go ahead and issue the bonds to retire the $1.5 billion of notes that we have coming due in 2025. We avoided the breakage cost on that by warehousing those funds against our current facility. So those are the types of ways that we've been thinking about this. We want to make sure that we stay balanced between additional share repurchases, delevering, but then making sure that we have enough dry powder for M&A. 
Kenneth Newman: That's really helpful color. Maybe just for my last one here. John, it was really great color on the data center commentary earlier. But I just wanted to see if you could help us size that opportunity or how you think about sizing that opportunity going forward. I think in the CSS business, data centers maybe around 8% to 10% of sales on a total sales perspective. But just any help on sizing that opportunity on the power and white space buckets you mentioned earlier? 
John Engel: Yes. It's -- we've not been public on that yet, Ken, so let me just say it. And it's also a moving target because what happens is, now, I think there's not any new data centers that are being designed that are not designed to expressly take advantage or be able to operationalize Gen AI applications. So the fundamental design requirements of data centers have markedly changed. I don't know if you'll see this in writing much, but markedly changed over the last 6 to 12 months, which, actually, the power consumption goes up dramatically. 
 And that drives the need for more complex power solutions, that's our UBS business; more challenging electrical solutions, that's our EES business; and obviously, more -- there's more throughput, in addition to the power, which is better for our CSS business. So I don't want to size it on this call. We do have plans in our Investor Day this year for all our end market verticals and where we see these exceptional secular growth trends to begin to put some more parameters around that. 
 And I think you can look for, in anticipation too, about drill down in the data centers, the whole value chain and the incredible market-leading role that we play because of our unique portfolio globally to help support our end-user customers. So stay tuned for that. That will address your question directly. 
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to John Engel for any closing comments. 
John Engel: So I think we've addressed all your questions. Mike, thank you again for supporting us today. It's very much appreciated. We look forward to speaking with many of you over the next 2 months. We're going to be busy next 2 months as the year has been so far. We've been heavily out on the road and engaging investors. 
 But we've got 4 conferences we're going to participate in, in the coming months: the Oppenheimer Industrial Growth Conference on May 7; the Wolfe Research Global Transportation and Industrial Conference on May 21; Barclays Leveraged Finance Conference on May 21 as well; and the KeyBanc Industrials and Basic Materials Conference on May 29. So with that -- I should say, finally, we expect to announce the second quarter earnings on Thursday, August 1. Thank you very much, and have a good day. 
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.